Operator: Welcome to Atlantica, Third Quarter 2021 financial results conference call. Atlantica is a sustainable infrastructure Company that owns diverse portfolio of contracted renewable energy, storage, efficient natural gas, transmission lines, and water assets in North and South America, and in certain markets in EMEA. Just a reminder that this call is being webcast live on the Internet and a replay of this call will be available on Atlantica 's corporate website. Atlantica will be making forward-looking statements during this call based on current expectations and assumptions which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements. If any of our key assumptions are incorrect or because of other factors discussed in today's earnings presentation, or because of other factors discussed, including the Risk Factors section of the -- accompanying presentation and in our latest reports and filings with the Securities and Exchange Commission, all of which can be found Atlantica our website. Atlantica does not undertake any duty to update and forward-looking statements. Joining us today for today's Conference Call are Atlantica CEO, Santiago Seage and CFO Francisco Martinez-Davis. As usual, at the end of the conference call, we will open the lines for the Q&A session. I will now pass you over to Mr. Seage Please go ahead, sir.
Santiago Seage: Thank you very much. Good morning. thank you for joining us for our third quarter conference call. A few opening remarks during the first 9 months of these a year 2021, we have delivered a copy of a $168 million which represents a growth of close to 13% versus the same period in the previous year. Our board of directors has decided to increase the dividend and has declared a quarterly dividend of $0.435 per share. Additionally, on the ESG front, we continue making progress. As you know, we have been very focused for the last years on ESG. In the last few weeks, we have had our emissions target approved by the Science Based Targets initiative. This is recognized organization that certifies that emission reduction targets are ambitious enough to be aligned with the goals set in the Paris agreement to limit global warming. For us having a third-party certifying that our plants in emission reductions comply lets say with these goals is extremely important. And we know that for a number of our investors, this is also important. So we're very happy to be able to communicate this. Innovation, we have recently received the Terra Carta Seal recognition, to our commitment to sustainability in an event at Cop 26, the United Nations Climate Change Conference, which is still ongoing in the UK in Glasgow. I will now turn the call over to Francisco who is in Florida at the EEI Conference. I mention this because we have had some difficulties with the line, so I hope that everything will be okay. Francisco, over to you.
Francisco Martinez : Thank you very much, Santiago, and good morning, everybody. Please turn to Slide 4 where you can see our key financial for the first 9 months of 2021. Revenue in the first 9 months of 2021, which now $140.4 million, which represents an 8.4% growth on a comparable basis, excluding foreign exchange and the non-recurring impact in our renewable sector that we discussed in the second quarter. Adjusted EBITDA, including unconsolidated affiliates, increased by 2.1% to $634.1 million. We generated a $168.5 million of cash available for distribution in the first 9 months of 2021, an increase of 12.9% year-over-year. If we look at our CAFD per share, stood at $1.52 year-to-date, a growth of 3.6 year-over-year. On the following slide, slide number 5, you can see our performance by geography and business sector. In North America, revenue increased by 15% to $308.7 million in the first 9 months of 2021, thanks to the recently acquired assets, while EBITDA increased by 2%. In South America, revenue and EBITDA increased by 5% and 1% respectively, also due to recent investments. EBIDTA in the EMEA region increased by 2% compared to the first 9 months of 2020, thanks to new assets. Higher revenue or CAT 2 (ph) and foreign exchange differences. If we look at EBITDA by business sector, we can see similar effects. Now, let's please turn the slide number 6, where we will review our operational performance. Electricity produced by our renewable assets reached 3,460 gigawatt hours in the first 9 months of 2021. An increase of 33% compared to the same period of 2020. The increase was largely due to the contribution of recently acquired assets. Production also increased in South Africa and Spain, where solar radiation was higher. On the other hand, solar radiation was lower than expected in the U.S., and the wind resource was lower than expected in our assets in North and South America. Looking at our availability based contracts, efficient natural gas, transmission lines and water assets, have continued to achieve higher availability levels in the first 9 months of 2021. Let's now move to slide number 7 to walk you through our cash flow. Our operating cash flow for the first 9 months of 2021, with $442 million, a very significant increase versus the same period 2020, same-store improvement in variations than working capital. Investing cash flow for the first 9 months of 2021 was $323 million as a result of acquisitions closed during the period. Financing cash flow for the first 9 months of 2020 corresponds primarily to the scheduled project debt repayment for approximately $256 million and $165 million of dividends paid to shareholders in non-controlling interest. Financing cash flow also includes a positive impact of $131 million of the equity raise closed in January, and $40 million for the refinancing of 1 of our note issuance facility with the proceeds of the 400 green notes issued in May. I will now turn the call back over to Santiago.
Santiago Seage: Thank you, Steve. We move to Page 8. We see that in 2021, year-to-date, we have made -- well we consider this very good progress in our investment in growth plan in North America with the acquisitions of 3 assets, including 2 very large renewable energy portfolios where we have invested around $370 million of assets in operation. We are also investing $25 million more or less in solar in photovoltaics in South America, and we have additionally recently closed the acquisition of 2 photovoltaic assets in Italy, our first investment in that country. Overall, including some additional smaller investments, this is in north of $460 million year-to-date, well above the guidance of $300 million that we have been sharing with you. We are now focused on new opportunities for 2022 and we expect to be able to share or update targets and plans when we present our 2021 results in February. Operator, we are ready for Q&A
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. And if you'd like to ask a question, . Your first question is from the line of Andy sturgis gift from Seaport, please go ahead.
Andy sturgis: Thank you and it was great to see you guys at the EEI, but just a couple of follow-up questions. So we've had the infrastructure bill, a bill passed in the U.S Congress with direct pay for renewable new bill. I'm just wondering if you think that's going to help with finding acquisition targets in order to allocate that $300 million per year in growth.
Santiago Seage: Absolutely. We think that that's a very important piece. In fact, some of our larger assets. Used that feature in the past. So I personally think that this is going to be very good for the sector in general, it's going to be very good for larger investments. And in our case, it's something that should help us going forward.
Andy sturgis: Okay. And then secondly, during the EEI we talked about potential expansion of existing sites, additions of batteries, or maybe also pilot hydrogen projects at some of the solar thermal sites in Spain, could you expand on this?
Santiago Seage: Yeah, I mean, without being very specific because obviously many of these are ongoing plans. We do see in the short and the midterm, a number of opportunities to invest in plants we already own, in sites we already own through different ways, including the ones you mentioned. I -- we think that going forward being able to offer hybrid technologies let's say so combining different renewal energy technologies, including the storage, including clean fuels like hydrogen. It's going to be one of the ways to make renewable more dispatchable, closer to a base load, and to be able to extract further value from assets you own already. Obviously, depending on the geography, your, PPA, your other regulation, these things can be done in, let's say, quicker, or you might need to wait for a few years. But clearly there's some value there and we are working on a number of those opportunities.
Andy sturgis: Good. Just one follow-up. I remember, in the past you had some concerns about the replacement cycle of the battery components and if it's accurately reflected in the return expectations for these assets. So, has anything changed or do you think that the market is now accurately reflecting the maintenance capex of these assets?
Santiago Seage: No, I think that there is a certain uncertainty there, and the track record in batteries is what it is, so not very long. Therefore, there is some uncertainty there. As you know, we are, or we consider ourselves a prudent investor. But there are situations where even with that uncertainty, the projects can work. We still have some time in front of us to work through some of those questions.
Andy sturgis: Great. Thank you.
Santiago Seage: Thank you.
Operator: Thank you. . And your next request is from the line of Julien Dumoulin-Smith from Bank of America. Please go ahead.
Unidentified Speake: Hey guys, this is Anya (ph) filling in for Julien this morning. So first, I guess I wanted to follow up a little bit on the growth side. Aside from the U.S. what other geographies have you used sort of been looking at internationally in terms of growth opportunities and then what about the potential contribution from ages?
Santiago Seage: Good morning, Anya. Good to hear you regarding growth opportunities, we can from a geographical point of view, we continue focusing on the same geographies we have been focused for a number of years. Probably with similar weight to the one we have in our portfolio today. So the U.S is clearly our priority. And in fact, this year, as you know, a significant part of our investments have happened there. On top of that, we continue working on. the key markets in South America, where we already have presence. We do see opportunities in South America. We think that the markets where we are present, the clear trend there is for renewal energy to continue growing, and we do see significant opportunities. We do see opportunities around renewal energy, and we also see opportunities around mid-term, around some of the newer technologies I was discussing before. On top of that, in Europe we continue working on situations and we think that there will be opportunities to deploy capital there. So a similar story to what you know today. Core US with -- coupled with opportunities in South America and in certain areas in Europe. In terms of your second question, as you know, our growth strategy is about three pillars if you want and one of the pillars is co-investment with third-parties or agreements with third parties, where we are working in different regions with different players. And one of them -- one of our relationships is we with AAGES We are currently working with them specifically in Colombia as we announced some time ago. And going forward, we plan to continue working with all our partner's, including AAGES, but not only that one. Going forward, our strategy as you know, is to grow through multiple sources. We don't depend on one specific partner or one specific situation in our growth.
Unidentified Speake: Okay, great. And then as a follow-up, could you maybe talk a little bit more about inflationary pressures, supply chain issues, and then how that could impact potential new project.
Santiago Seage: Yes. So clearly, we're seeing the same pressures everybody is seeing. The good thing is with our business model the impact that can have on us is very limited because at any point in time, the amount of capital we are deploying in building ourselves. Asset is very limited. Therefore, that is not a concern for us at this point in time. Although obviously we see a market like what our peers and companies in the sector are seeing a market where it will take a few quarters before supply chains can come -- go back to normal. But fortunately, our cash flow does not depend on that. Our cash flow depends on operating the fleet of assets we own.
Unidentified Speake: Okay, great. Thank you. And then just 1 final in here. I Just wanted to get an update on how the assets across your portfolio doing operationally, any issues and then progress on ACT payments Pemex.
Santiago Seage: Starting with the last part of the question on the HCL disclosure, the situation today is significantly better. In general, in the fleet, we are where we expect, as you know, with one asset: Solana, where we are doing a number of improvements and that has been performing below what we expect.
Unidentified Speake: Okay thanks. And then on -- anything on Pemex? Or you said  --
Santiago Seage: As I mentioned at the beginning, the situation has improved significantly.
Unidentified Speake: Okay. Okay, great. Thank you. I'll jump back in the queue.
Santiago Seage: Thank you.
Operator: Thank you. . And there are no further questions at this time. With that, we conclude the presentation today. Thank you for participating. You may disconnect.
Santiago Seage: Thanks to everybody.
Francisco Martinez : Thank you. Bye bye.